Operator: Good day and welcome to PrairieSky Royalty Limited Announced the Second Quarter 2023 Financial Results. At this time, all participants are in a listen-only mode. After the speakers' presentation, there'll be a question-and-answer session. Instructions will be given at that time. As a reminder, this call is being recorded. I would now like to hand the call over to Andrew Phillips, President, and CEO. You may begin.
Andrew Phillips: Thank you, and good morning, and thanks for dialing into the PrairieSky Q2 2023 earnings call. On the call from PrairieSky are Cam Proctor, COO; Pam Kazeil, CFO and myself, Andrew Phillips. There's certain forward-looking information in my commentary today. So I'd ask investors to review the forward-looking statements qualifier in our press release and MD&A. I'll walk through the operations report and then turn the call over to Pam to summarize the financials. Q2 is another solid quarter for PrairieSky operationally and financially. Oil royalty volumes grew organically to 12,607 barrels per day and are now 6% higher over the first six months of 2023, when compared with the first six months of 2022. There were 148 wells spud in Q2, which were 92% oil. Although activity in the quarter was moderated by seasonal breakup, the number of wells drilled was up 21% from 122 wells spud in Q2 2022. The Viking was the most actively drilled play with 43 wells spud, followed by the Clearwater with 33 wells, 32 light and heavy Mannville oil wells and five Mannville wells at Lindbergh. Additional oil activity took place across the portfolio, including wells spud in the Duvernay and Mississippian. There were also 11 Montney natural gas wells spud. The average royalty rates for wells spud in the quarter was 5.8%. Leasing activity remains robust, and the company received $5.7 million in bonus revenue and entered into 39 new leases with 37 counterparts. A number of large leasing arrangements are part of this total, including a significant light oil arrangement with well commitments, where an inflection in recent well results have been noted. We leased 167 sections of land this quarter versus 82 sections a quarter ago, as companies are looking to expand their inventory and numerous new start-ups have been active on the leasing front. $15 million was spent on undeveloped land in the Mannville stack play. There is large oil in place on the lands, and multilateral drilling will see this play continue to expand. With narrow differentials and thick pay packages, there is significant potential on both our fee title and newly acquired lands. As profitability of Canadian oil producers continues to grow and producer balance sheets remain healthy, we see growing capital expenditures in the Western Canadian Sedimentary Basin over the next five years. Thank you, and I'll turn the call over to Pam to walk through the financials.
Pam Kazeil: Thank you, Andrew. Good morning, everyone. As Andrew mentioned, there are certain forward-looking information on the notes today, so I would remind investors to review the forward-looking statements qualifier in our press release and MD&A for Q2 2023. PrairieSky’s oil royalty production volumes grew to a record 12,607 barrels per day in the quarter and drove 83% of our royalty revenues. This 3% increase in production over Q1 was predominantly from oil volumes in the Viking, Mannville heavy oil and Clearwater plays, which more than offset natural declines and the negative impacts of the Alberta wildfires, which we estimate lowered average royalty production for oil by 135 barrels per day and revenue by $900,000 in the quarter. PrairieSky's realized price was $78.05 per barrel, which, combined with our record oil production, generated oil royalty revenues of $89.6 million. Natural gas royalty revenues averaged $53.8 million a day, below Q1 2023, as a result of operational downtime due to the wildfires, which we estimate reduced volumes by 2.5 million a day and revenue by $400,000; and the impact of a one-time prior period adjustment, which reduced quarterly volumes by 4.5 million a day and reduced revenue by $400,000. PrairieSky's realized natural gas price was $2.23 per Mcf and generated natural gas revenue of $10.9 million. NGL royalty volumes averaged 1,943 barrels per day. In the quarter, NGL royalty volumes were lower due to the wildfires, which we estimate reduced volumes by 200 barrels per day in the quarter and revenue by $500,000. The one-time prior period adjustment I discussed for natural gas lowered NGL royalty volumes by 370 barrels per day and revenue by $1.6 million. After accounting for these adjustments, NGL royalty revenue totaled $7.9 million with a realized price of $44.77 per barrel. Total royalty production averaged 23,517 BOE per day and generated $108.4 million of royalty production revenue. We anticipate that the wildfire volumes will be back on production for Q3. Also, the prior period adjustment I described has a one-time impact on revenue and volumes. During the quarter, the compliance group also collected $2 million in underpayments, which offset the full revenue impact of the prior period overpayment. Other revenue totaled $9 million and included $2.6 million in lease rentals; $700,000 of other income, including $600,000 of potash revenue; and $5.7 million of bonus consideration for entering into 39 new leases with 37 different counterparty. New leasing is a leading indicator of future field activity, and we anticipate near-term drilling on many of these new leases. Cash expenses in the quarter were production and mineral taxes of $1.4 million and cash administrative expenses, which totaled $7.2 million or $3.36 per BOE. Cash administrative expense was higher than Q2 of last year, due to the payment of its deferred share units to retiring director. PrairieSky recorded a cash, a tax expense of $13 million in the quarter. Entering the year, we had $1.55 billion of tax pools to offset future taxable income. So in 2023, the first $155 million of cash flow is tax free, with the remainder tax at our statutory tax rate of approximately 23.5%. PrairieSky generated quarterly funds from operations of $91.3 million or $0.38 per common share. During the quarter, PrairieSky declared dividends of $57.3 million or $0.24 per share with a resulting payout ratio of 63%. The excess funds from operations above the dividend and our $15.2 million in acquisitions was used to retire bank debt. Net debt at June 30, 2023, was $275.9 million. PrairieSky has generated approximately $2.4 billion in funds from operations and returned $1.7 billion to shareholders through dividends and buybacks since our IPO nine years ago. We will now turn it over to the moderator to proceed with the Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from Patrick O'Rourke with ATB Capital Markets. Your line is open.
Patrick O'Rourke: Hey, guys. Good morning. Just a quick question with respect to the acquisition here, sort of, undeveloped Mannville, primarily a GORR interest here. Is there any sort of synergies with respect to your fee simple land? Do you expect, kind of, co-development between GORR and fee simple? And then are there any capital commitments with respect to this acquisition?
Andrew Phillips: Yes. Good morning, Patrick. And yes, so to answer the last part of the question, there are capital commitments related to the acquisition. They're primarily 15-year oil sands leases. And then upon achieving a certain amount of production, they can be continued in perpetuity. And what we like about it is there's multi-zone pay within the area. That can be developed with both multilaterals and we think with the fishbone design where it's more unconsolidated. And a lot of this, it's not real expiration. It's been proven up on the fee mineral title offsetting in certain cases. So we're quite confident in the development profile of the asset. And I think it's got some excellent economics, sub 1-year payouts and significant oil in place.
Patrick O'Rourke: Okay. And is there any overlap with any existing fee simple land? Or is the operator time of shared between GORR and these simple lands at all?
Andrew Phillips: Yes. So we do have the checkerboard fee mineral title within the area lease. Some of it's leased from old leasing arrangements from over 10-years ago, primarily to Devon Canada, which is now CNRL. And then there's been a lot of new leasing recently in the areas. So there is -- there are some synergies, for sure, both from a surface land perspective but also a road perspective and a development perspective.
Patrick O'Rourke: Okay, great. Thank you very much.
Andrew Phillips: Thanks for your question.
Operator: Thank you. Our next question comes from Mike Dunn with Stifel FirstEnergy. Your line is open.
Mike Dunn: Thanks. Good morning. Andrew, can you provide any more color on the light oil that you mentioned earlier with the inflection in well results? What play and what area?
Andrew Phillips: Yes. So it's in kind of Western Alberta, it’s the Cardium. It's in lock. And interestingly enough, like if you look at two of the top three wells in the Cardium in all of Canada, in May, they were in that area. They're kind of 1,000 barrel a day IPs, and we have slightly higher royalties there, 18% just given the competitive nature of the area. So we have a multiyear agreement with an operator in the area to -- with well commitments. And anyway, that the well results have been exceptional, and they continue to improve, and there's also liquids solution gas that comes along with the 40-degree crude. And so I think, again, it's definitely seen an inflection in the quality of the wells with more moderate tracking.
Mike Dunn: Thanks, Andrew. That’s all for me.
Andrew Phillips: Thanks, Mike.
Operator: [Operator Instructions] Our next question comes from Jamie Kubik with CIBC. Your line is open.
Jamie Kubik: Yes. Thanks for taking my question. I have two questions. Can you -- the first one, can you talk a little bit about the royalty rate on new wells drilled during the quarter? It was around 5.8%, down a bit from last year. And what drove that reduction? And where you expect that to trend in the back half of 2023 based on what you're seeing from activity?
Andrew Phillips: You bet. So on your first question, I'll get your second question in a second. Yes, the royalty rate of 5.8%, part of it was -- so there's a lower amount of drilling activity just because it was a breakup quarter. A lot of the drills that were in Q2 would have been in the, kind of, deep base and winter access only, so more GORRs. And in addition, there was a number of Montney wells that were drilled that just touched our sections with higher royalties. But of course, the average royalty on that ended up being less than 1%, which kind of dragged the number down. So just in terms of expectations in the back half of the year, we expect significantly higher average royalty rates. And again, we've always said, we'll always have quarters where we'll be below 6 modestly. But then what we're seeing in general is the 800-plus wells that get drilled any year, significantly higher royalties than we've seen in the past. And we expect that to continue in Q3, Q4.
Jamie Kubik: Okay, thanks. And second question here. Can appreciate that gas volumes were lower in the quarter due to a few one-time charges that hit you there. But how do you think gas volumes trend for the balance of the year based on the drilling that you've seen so far in the Deep Basin in Montney?
Andrew Phillips: Yes, it's a good question. So in terms of the PPA, you can basically add that back. And then in terms of the fire volumes, you can just add those back. So that takes you back to a more reasonable level. And then in addition, we had a number of high-rate Montney wells come on in Q2. So those should kind of help the back half of the year in terms of gasoline. So I don't know exactly where we land. Of course, we don't give guidance, but it should get back to more normalized levels for the rest of the year.
Jamie Kubik: Okay. That’s all for me. Thank you.
Andrew Phillips: Thanks for your question, Jamie -- questions.
Operator: Thank you. There are no further questions at this time. I'd like to turn the call back over to Andrew Phillips for any closing remarks.
Andrew Phillips: Thank you very much for dialing in and hope everybody has a great summer.
Operator: Thank you. This concludes the program. You may now disconnect. Everyone, have a great day.